Operator: Good day, everyone, and welcome to the Denny’s Corporation First Quarter 2020 Earnings Call. Today's call is being recorded. At this time, I would like to turn the conference over to Curt Nichols, Vice President, Investor Relations and Financial Planning and Analysis. Please go ahead, sir.
Curt Nichols: Thank you, Kristy. Good afternoon, everyone. Thank you for joining us for Denny's first quarter 2020 earnings conference call. With me today from management are John Miller, Denny's Chief Executive Officer; and Robert Verostek, Denny's Senior Vice President and Chief Financial Officer. Please refer to our Web site at investor.dennys.com to find our first quarter earnings press release along with any reconciliation of non-GAAP financial measures mentioned on the call today. This call is being webcast and an archive of the webcast will be available on our Web site later today. John will begin today's call a business update. Robert will provide a recap of our first quarter results and current trends before commenting on our recent credit facility amendment. After that, we will open it up for questions. Before we begin, let me remind you that in accordance with the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995, the company knows that certain matters to be discussed by members of management during this call may constitute forward-looking statements. Management urges caution in considering its current trends and any outlook on earnings provided on this call. Such statements are subject to risks, uncertainties and other factors that may cause the actual performance of Denny's to be materially different from the performance indicated or implied by such statements. Such risks and factors are set forth in the company's most recent annual report on Form 10-K for the year ended December 25, 2019, and in any subsequent Form 8-K and quarterly reports on Form 10-Q. With that, I will now turn the call over to John Miller, Denny's Chief Executive Officer.
John Miller: Thanks, Curt. Good afternoon, everyone. We hope and you and your families are staying safe and healthy during these challenging times. The COVID-19 pandemic and related restrictive government mandates are having an unprecedented impact on our industry and our brand. And while we started the year with solid results in our fiscal January and February period, things changed quickly in the latter weeks of the quarter as stay-at-home directives were implemented along with mandates requiring dining room closures. We were required to make equally swift adjustments in our business and I’m proud of how well our team and our network of franchisees worked so well together to implement these changes in a matter of days. As our business was abruptly limited to off-premise sales channels only, we were fortunately to already have an established off-premise business through our Denny’s on Demand platform. Prior to the pandemic, off-premise sales represented approximately 12% of our business and nearly 60% of these transactions were pickup orders with delivery orders representing the balance. As our business was shifting, we were able to accelerate some national broadcast media to feature a free delivery message when ordering through our Web site or mobile app while also introducing a contactless delivery option. We have continued to feature free delivery while transitioning media to digital and social channels. We also quickly implemented a Dine-Thru curbside program to build pickup transactions and over 700 company franchise restaurants adopted the curbside service. As a result of these efforts, average unit volumes for off-premise sales more than doubled between February and April with pickup representing 57% of April transactions. Of the remaining delivery transactions, 28% were attributed to third party partners in April with the balance of delivery transactions coming through our Web site or our mobile app. And beyond reminding guests of our existing Denny’s on Demand platform and implementing curbside service, we developed a streamline menu that was optimized to feature some of our more popular products and also allows for greater kitchen speed and efficiency as restaurants adjusted to significantly reduce staffing levels. We encourage online ordering but restaurants can also download and print streamlined menus for single use by our guests. Earlier this week, we introduced a slightly larger menu which added more of our popular products back. Shareable Family Meal Packs were also quickly developed and brought to market initially featuring Grand Slam, cheeseburger and Chicken Tender meals for feeding a family of four. Where permitted, we introduced Denny's market creating an opportunity for guests to purchase certain grocery items out of our pantry and over 400 Denny's restaurants have adopted this program enabling one-stop shopping for our guests to order some of our signature menu items as they always have and at the same time add a few grocery items to their order. Communication and collaboration have been critical elements in our program. We developed and shared training materials with all franchisees and restaurant managers in preparation for the impact of the pandemic. We have conducted nearly 30 calls with our systems sharing key information and best practices in this challenging time in addition to daily system email communications. In advance of jurisdictions starting to ease dining restrictions, our team did a terrific job developing additional materials focused on our newly implemented health and safety measures and these were designed to protect the wellbeing of our guests, restaurant teams, employees, suppliers and the public at large. Our new initiative includes best-in-class practices for operations, customer service, cleaning and sanitation, and new social distancing measures. To that end, we are encouraging all restaurants to have a dedicated sanitation specialist who is tasked with disinfecting services following every guest visit. This person wears an armband or a vest that identifies their role and leaves a card on every table notifying new guests that the area has been disinfected. To ensure the highest level of cleanliness and sanitation, our high-touch surfaces will be regularly deep cleaned using a two-step process; clean and disinfect, then sanitize. We have also removed high-touch items like table caddies and condiments from tables and continue to utilize single use menus. Our employees are expected to wear face masks and gloves and we’ve supplied all restaurants with instructions and suppliers for mandatory temperature checks using no-touch forehead thermometers. Temperature checks are necessary for employees as well as vendors and service personnel entering the restaurant. Employees will be required to wash their hands and apply an alcohol-based sanitizer every 20 minutes. In addition, guests will also have easy access to hand sanitizer and we are encouraging the installation of sanitary shields at each cash register. Social distancing within restaurants is mission-critical. We are rearranging our diner rooms to accommodate proper social distancing measures and have supplied stores with signage to mark tables that are not currently in use. We have developed merchandizing that highlights social distancing and other guest safety measures with floor decals, signs, door clings, roadside banners, yard signs, posters and table guards, just to name a few. With these measures in place, we’re confident that we can deliver the same high-quality food and great experience that Denny’s is known for and to do so in a safe manner. We will be sharing these enhanced health and safety measures with consumers to provide them with confidence to enjoy a great Denny’s meal in one of our dining rooms where permitted. In addition to the health of our guests and the general public, we have been focused on financial health of our franchisees. Direct financial relief has consisted of an immediate deferral of remodels until further notice, a deferral of royalty and advertising fees for fiscal week 11 and the full abatement or forgiveness of such fees for fiscal weeks 12 and 13. We also provided a 12-week lease deferral for franchisees operating in the 73 properties owned by the company. Our development team has aggressively pursued rent relief in the form of abatements or deferrals securing such relief for approximately 75% of the leases in which the company is a lessee. We are extending that same relief to franchisees who sublease from the company. Furthermore, we have worked closely with key vendors and primary third party banks who lend to our franchisees to secure additional relief on their behalf. Now I want to take a moment to personally thank our loyal brand partners who, while enduring equally challenging times in their businesses, found the ability to provide much-needed relief to our franchisees. Most of our franchisees are small, locally owned businesses that have actually felt the economic burden of this crisis that’s been caused. In fact, over 70% of our franchisees operate five or fewer restaurants and we still have 80 franchisees operating a single restaurant. That is why federal stimulus programs are critical to our franchisees’ survival and ability to protect local jobs. We fully support their individual decisions to apply for and secure economic aid during this time. Today, franchisees representing over 82% of domestic franchise restaurants have received funding under the Paycheck Protection Program with another 7% approved and awaiting funding. In addition to implementing a number of cost savings measures, we also entered into an amendment to our credit facility yesterday. Robert will share more details on both of these items in just a moment. As of May 13, 2020, approximately 82% of domestic Denny's restaurants were operating with some limited capacity dining rooms, most still with off-premise sales channels only at this point. Let me close by reminding you that our brand was founded on a simple principle, We Love Feeding People. That is why even in these challenging times, our restaurant teams have donated over 15,000 free meals to first responders and medical teams. That passion for feeding people runs deep into our franchise system and drives our collective resolve to quickly adapt to these current challenges while doing everything we can to continue safely serving our guests and the communities in which we live for many years to come. I’ll now turn the call over to Robert Verostek, Denny's Chief Financial Officer. Robert?
Robert Verostek: Thank you, John. Good afternoon, everyone. As John mentioned, these are indeed unprecedented times. I will start with a brief review of our first quarter results, then share some perspective on recent trends and wrap up with an update on our liquidity position including details around the credit facility amendment we entered into yesterday. As John noted, we started the quarter of a solid footing, delivering domestic system-wide same-store sales of over 2% through our January and February fiscal periods. Due to the early impact of COVID-19, particularly in the last two weeks of the quarter, domestic system-wide same-store sales for our March fiscal period were down 19.4%, ultimately yielding a same-store sales decline of 6.3% for the quarter. We ended the quarter with 1,695 total restaurants, as Denny's franchisees opened eight restaurants. These openings were offset by 15 franchise restaurant closings and one company restaurant closing. Franchise and license revenue increased 2.9% to $54.4 million, primarily due to our refranchising and development strategy that was substantially complete at the end of 2019. This was partially offset by the early impact of COVID-19 on sales at franchise restaurants and a related abatement of approximately $1.9 million in royalties and $1.2 million in advertising fees for the last two weeks of the quarter. Franchise operating margin was 46.4% compared to 48.8% in the prior year quarter. This margin rate decrease was primarily driven by the royalty abatement and $1 million bad debt allowance on franchise-related receivables due to COVID-19, partially offset by improved occupancy margin. Company restaurant sales of $42.3 million were down 57.1% due to 102-equivalent unit decline in our portfolio as a result of our refranchising and development strategy as well as the early impact of COVID-19 at the end of the quarter. Company restaurant operating margin of 14.6% was flat compared to prior year quarter. This was because of an increase in occupancy-related expenses from refranchising restaurants where we own the real estate as well as an increase in general liability costs primarily due to higher property insurance costs were offset by a decrease in other operating costs. Total general and administrative expenses were $7.7 million compared to 18.8 million in the prior year quarter. The decrease was driven by accrual reversals associated with both our short-term incentive plan and long-term share-based compensation plan based on revised achievement expectations, market valuation changes in the company’s deferred compensation planned liabilities and the rationalization of certain business costs in connection with our refranchising and development strategy. These results contributed to adjusted EBITDA of $15.7 million. Depreciation and amortization expense was approximately 2.1 million lower at $4.1 million, primarily resulting from a lower number of equivalent company restaurants due to our refranchising and development strategy. Interest expense was $4.0 million compared to $5.4 million in the prior year quarter, primarily due to lower interest rates, lower average credit facility borrowings and a reduction in financing leases. The provision for income taxes was $2.3 million, reflecting an effective income tax rate of 20.5%. Adjusted net income per share was $0.17 compared to $0.13 in the prior year quarter. Adjusted free cash flow after cash interest, cash taxes and cash capital expenditures was $9.0 million compared to $7.2 million in the prior year quarter, primarily due to decreases in cash capital expenditures and cash interest. Cash capital expenditures, which included maintenance capital and remodels, was $2.8 million compared to $7.8 million in the prior year quarter. After drawing down $40.5 million under our credit facility near the end of the quarter, our quarter end debt to adjusted EBITDA leverage ratio was 3.6x and we had approximately $334 million of total debt outstanding, including $318 million under our credit facility. We allocated $34.2 million towards share repurchases during the quarter, but suspended share repurchases as of February 27, 2020 and we terminated the 10b5-1 trading plan on March 16, 2020 as communicated in a press release that same day. As previously announced, on March 16, 2020, we withdrew our guidance for the fiscal year ending December 30, 2020. Given the dynamic and evolving impact of COVID-19 pandemic on our operations and substantial uncertainty about future performance, we cannot reasonably provide an updated business outlook at this time. Turning to recent trends, we have seen sequential improvement in domestic same-store sales performance following our low point of negative 80% which occurred in the final week of the first quarter. Our domestic same-store sales results for fiscal week 19 improved to approximately negative 68%. It is worth noting that restaurants with sales in both the current year fiscal week and the equivalent prior year week are included in the same-store sales calculation. The domestic same-store sales results for the second quarter are impacted by many restaurants operating with reduced hours, particularly at late night in response to the pandemic. We exclude from our weekly same-store sales calculations only those temporarily closed restaurants that are closed throughout the week. Any locations that report sales for portions of a week are included in the weekly calculation. As John noted earlier, we have seen a number of jurisdictions start to ease restrictions on dine and service, with approximately 36% of a total week of sales in our restaurants occurring between Friday late-night through Sunday lunch, a 50% dining room capacity limit would likely impact Denny's restaurants for only a few hours during weekends. Currently, there are 521 Denny's restaurants operating with dining room capacity limitations across 21 states. Same-store sales for locations that have been operating with opened dining rooms for a full week are trending down approximately 50%, with dining room sales down approximately 68% and off-premise sales channels up approximately 105% compared to the prior year. Now I would like to provide some perspective on breakeven sales levels for restaurants. In an off-premise only scenario, a Denny's restaurant would need sales of approximately $1,500 per day to cover food cost, team and manager labor and other variable costs. The average volume of off-premise only Denny's restaurants exceeded this sales level in late April. Dining room service requires more staff, so our variable cost breakeven inclusive of management labor would be $2,000 to $2,500 per day. This would represent a sales level equivalent to approximately 55% of the average unit volumes generated by Denny's domestic franchise units in 2019. In an effort to reduce our use of cash, we implemented numerous cost savings measures including suspended travel, cancelled in-person field meetings, placed holds on all opened corporate and field positions, significantly reduced restaurant level staffing across the portfolio, meaningfully reduced compensation for the Board of Directors and multiple levels of management and furloughed over 25% of the corporate office. While furloughed, the company has covered the benefits costs normally borne by the impacted employees. Unfortunately with the uncertain length and magnitude of disruption of the pandemic on our business, we had to make the difficult decision to part ways with roughly half of these furloughed employees earlier this week. Severance costs for those impacted will be captured as the component of operating gains and losses and other charges net in our fiscal second quarter, while related payments will be made over the severance benefit period. Yesterday, May 13, 2020, we successfully entered into an amendment to our credit agreement. The amended credit agreement suspends the testing of the leverage ratio and the fixed charge coverage ratio until the first fiscal quarter ending March 31, 2021 at which time modified leverage ratio and fixed charge coverage ratio covenant testing will resume. The amendment has a monthly minimum liquidity covenant defined as the sum of unrestricted cash and availability under the credit facility. Through the date of delivery of our financial statements for the fiscal quarter ending June 30, 2021, we will be unable to repurchase shares or make certain investments. Capital expenditures will also be restricted to $10 million through our first fiscal quarter ending March 31, 2021. We are extremely appreciative of the longstanding relationships we have had with our participating banks in our credit facility and the way in which they have continued to support our business. In these challenging times, our management team is focused on managing business costs while supporting Denny’s recovery as dining rooms reopen. In doing so, we will leverage the strength of our asset-light business model to generate strong cash flows which we are committed to using to reduce leverage in the near term. That wraps up our prepared remarks. I will now turn the call over to the operator to begin the Q&A portion of our call.
Operator: Thank you. [Operator Instructions]. And first, we’ll go to Nick Setyan from Wedbush Securities. Your line is open.
Nick Setyan: Hi. Thanks for taking the question. I guess bigger picture before any sort of specific questions, how do you compare the breakfast offering and the breakfast daypart relative to some other obviously dayparts within the category? And are you thinking about sort of addressing the potential changing habits, et cetera, that we’re seeing not only in the near term but over the longer term?
John Miller: Nick, it’s a great question. First of all, throughout the quarter, because the pandemic hit late in the quarter, it’s hard to use that as a judge for what’s happening today and what we expect to continue. There’s no question that post-pandemic, the pace at which things get back to normal or a new normal we’ll be carefully watching and we do not expect things to return to where they were any time soon. One of the things sort of big picture that are going on, of course, is the heightened desire for convenience through technology, pickup, delivery and family bundled meals, meal packs. You noted that we did quite a number of stores participated in a little bit of a grocery test. It’s not a brand standard by any means, but it gave us an opportunity to manage inventory but also to provide the one-stop shop service for consumers. So whether or not things like that persist over time, it’s too early to say. But what I would say is our franchise partners in collaboration with the Denny’s leadership team, ops development and marketing team, all moved really quickly to listen and learn to what consumers expected from us and to adapt quickly. Some stores closed, some stores operating dine-thru operations on the parking lot and some just allowed – stayed open for delivery and pickup and did not feel compelled to set up cones and parking lot, hostess stands and the like. But we got a lot of learning through the number of stores that participated through that, Nick, and I would expect that as dining rooms start to flow back up and customers feel more comfortable and unemployment falls and momentum builds in the economy over time, some will return to normal and some there’s an expectation for complete touchless, tick plates [ph] on bathroom doors, sneeze guards at registers, gloves and masks, sterile stations everywhere. People who don’t want to enter their zip code at the gas station, they don’t want to touch anything. So I think some of these things will persist and you’d expect that our brand would be at the warfront of accommodating what consumer expectations are as this unfolds. As far as breakfast daypart, it was our strongest daypart. The worst of course was late night because we closed early to save hours for a franchisee system on the early adaptations we made. But breakfast daypart continues to be very strong and breakfast mix continues to be very strong mixing in the low 60s all day for Denny’s. Prior to pandemic, breakfast as a daypart is roughly – as a product just in the low 60s, but as a daypart call it 28, lunch 36, dinner 20 and late night 15 making up 100% of our daily sales.
Nick Setyan: Thank you. And the other question that’s top of mind right now is the off-premise growth and not just necessarily family dining but in casual dining we’ve seen a big variation as much as over 50% of their current sales are now off-premise, comps down 40%, 45%. What exactly do you think put a big gap among the different concepts and how can Denny’s bridge that gap in the near term?
John Miller: Yes, I think it’s bridged by awareness. Free deliveries certainly helps raise awareness because we have breakfast and lunch equities over dinner and late night. You’d expect us not to fair as well in the early going as casual players that have more of their all daypart mix already skewed towards dinner. I think the overall trend that wouldn’t be lost on any of our peers or competitors and certainly not Denny’s in that it’s very different on the weekends. My need is I got to get out. I need to breathe the air. I have cabin fever. I don’t want to either make me wait, but don’t rush me. Whereas during the week after 5, dinner sales in casual or family I think the consistent theme is we are time pressured. We are multitasking. We’re doing homework with the kids or honey-do items at home or extending our workday. And so the need for convenience will persist and I’d say that’s true across all retail, healthcare, restaurants, casual, fast food, whatever it might be, the consumer is looking to eliminate pain points and technology will play a role in that and adapting service style will play a role in that. So how Denny’s expect to adapt is to make sure that we have the right pieces and components for our customers to use. There are – even in third party delivery, they’re not all equal. Some of their apps were just a little easier to use and you see over time how a preference is being developed by consumers on a couple over the four or five major players just over convenience alone. So that’s very telling, Nick, the consumer expectation they’re demanding of some level of perfection and the technology works and serves them. So we have to make sure Denny’s is able to provide that as well. I don’t want to understate the point – I don’t want to take up more of your time than necessary here, but just to emphasize the point that anything you can do to signal sanitary environment is critically important right now and so we’re taking extra steps there. We outlined some of those things on our call. So there’s an expectation with distancing and mask, but also all these others things together with touchless will more and more be a consumer expectation and table stakes across the industry in my view.
Nick Setyan: Thank you very much.
Curt Nichols: Thanks, Nick.
Operator: And next, we’ll go to Todd Brooks from C.L. King & Associates. Your line is open. Todd, you may be on mute. You may want to pick up the handset of unmute the phone.
Todd Brooks: Apologies. I was on mute. Hope you’re all well.
John Miller: Hi, Todd.
Todd Brooks: Robert, when you were talking about the dine-in states and where we’ve opened the stores down kind of 50% same-store sales, can you take a stab at what the blended capacity restrictions are if you look across the units where they fall closer to 25% and 50% or they split right in the middle or --?
Robert Verostek: Yes, that’s an excellent question, Todd. I can you give you kind of a sense. Of those 521 in the 21 states, 75% of those units are in five states. So that’s Texas, Florida, Arizona, Nevada and Utah. So to give you a sense, Texas is at 25% capacity, so it Florida. Arizona is using the terminology social distancing. That’s about 71 units for us and then in Nevada around 30 units at 50%. So when I look across this board, my sense is – it’s all over the place, Todd, and I think I would work you back to the point that I was trying to make within the script with regard to the idea that there are only a handful of hours over the weekend timeframe where those capacity constraints really may come into play. But to give you a sense, I would say right now it’s probably in between that 25% and 50% on a blended average.
Todd Brooks: Okay, great. And just a follow up because you did say, I think it was Arizona is socially distanced. If we get from mandated capacity restrictions to just a state-based restriction and you look at the restaurant and if you have to do the six-foot separations, where do you think your capacity would level out if it was just socially distance as the guideline or maybe what does the Arizona capacities look like with that guideline?
Robert Verostek: Yes, Todd, that is a great follow-on there. When you look at the socially distance and you look at the different requirements with regard to the business by feet, that actually gives us more capacity within those units not less. We can rearrange the tables appropriately to capture even more than these – about 50% top line that many of these states are showing. So that would give us more capacity.
Todd Brooks: Okay, great. And then just a final question. The 18% of stores that are closed, as you’re looking at that, that base of temporary closures, what’s the trigger that you start to see those kind of continuing to reopen here? Is that dine-in, open in their markets? Is it din-in, open at 50%? What are your thoughts of what’s going to work that number down over the second quarter? Thanks.
John Miller: Yes, the trigger going into that was a mixed bag. Part of it is emotion. A franchisee not knowing they could rely on the PPP or not certain that that would come in. So there’s some broad array of franchisees, some that have really good balance sheets but recently made investments in restaurants and maybe sort of capped out or levered to maybe the extent of their credit, but otherwise really good franchisees but a little more nervous about running out of cash. The liquidity played a role and in some of those – and then some are just really sleepy little areas or some are resort areas that went sleepy really fast. So each has their own varied set of circumstances. As far as the reopening is concerned, I think to some degree franchisees will be looking to sort of reloading, restaffing, reopening inventory and then waiting for a 50% or better because of just the gear-up costs. So I think a good portion of those will come online when it’s more reliably passed the 25% mark in their jurisdiction.
Todd Brooks: Okay. Thanks for that, John.
John Miller: Thanks, Todd.
Operator: And next, we’ll go to Michael Tamas from Oppenheimer. Your line is open.
Michael Tamas: Great. Thanks. Hope everyone’s doing well. You mentioned that the same-store sales units with dine-in that are open are down 50%. Just wondering, can you talk about what you saw on how consumers used the brand with the off-premise mix during that timeframe versus the dine-in?
John Miller: Yes, I’ll start the answer and turn it over it to Robert for anything I might have missed. But let’s just use Texas as an example with 25% capacity. The stores opened up and still because of a weary consumer or a little nervous and some would say schizophrenic message that’s not to disparage Governor Abbott in Texas for what he’s trying to do to keep the public safe, but from a retail interpretation social distancing makes sense when someone’s going to their grocery store and keeping six feet apart or the gas station or the Home Depot and then they go into the restaurant it’s 25% capacity. So some argued that that wasn’t the most rational thing to unfold. And so with that there’s a lot of debate of whether or not it was really safe to go out eat but it’s perfectly fine to pick up some screws and hammer. So I think that message created a little bit of a slower pickup to dine in and frankly the business picked up faster than the dine-in business picked up, so to-go was really accelerated. Then I think that continues to evolve daily. So I would not say it’s a reliable predictive measure, but the early going is kind of all over the place. And Robert, do you want to add anything to that? I think to-go persists way higher and then dine-in is picking up slowly.
Robert Verostek: That was the exact point I was going to add on, John, that we are still maintaining to go off-prem has nearly doubled over this timeframe. So with the advent of additional on-prem seating coming into play, we’ve been able to still maintain that really robust off-premise business even as the restaurants have come back online in a restaurant season.
Michael Tamas: Perfect. Thanks for that. And then I think you mentioned somewhere around 90% of your franchisees either got or are still waiting to be funded from some of these federal programs. Just mentioned in response to prior questions some jitters from franchisees about potentially reopening some of those closed units. So I guess the question is do you think that the federal programs out there are enough to get the franchisees that are jittery to reopen and be successful at reopening? And then just broadly across your franchised base, do you think that there’s enough out there that can help bridge them until the environment does improve or do you think they’re going to have to get a little creative between now and then as some of these programs potentially wear off or just don’t have enough funds?
John Miller: Thanks, Michael. With regard to the programs, as you have seen as this evolution has kind of taken place through time, these programs have evolved, come into play, been bolstered again with regard to the PPP with the second tranche. And the reality is, is one of the constraints now that’s been looked at is this eight-week timeframe for the forgiveness. I think many would hope that that maybe extended. And if that were to be extended, I think that it would go a long way. With regard to becoming creative, I think many of the franchisees have already become creative with regard to ensuring that they will be able to reopen and we have worked, as we noted in these commentaries, with of their lessors. We sit in the master lease [ph] position on many and we worked with many of those lessors to get deferrals and abatements. We work with banks who know many of the franchisees, franchisee lending banks and worked with them. So again, the liquidity that we have put in place has really relieved a lot of the early on tensions and anxiousness and we will continue to work down that path to bolster the liquidity to ensure that we can get reopened at the appropriate time as off-premise becomes more widely available.
Michael Tamas: Thank you very much. Best of luck.
Curt Nichols: Thank you.
Operator: And next, we’ll go to James Rutherford from Stephens. Your line is open.
James Rutherford: Thank you and thanks for taking the questions here. Robert, just first one housekeeping. What assumptions go into those unit level breakeven figures that you gave us? Does that include normal rent and royalty and ad fee? Is it like a sustainable kind of long-term breakeven figure?
Robert Verostek: Yes, so great question, James. For clarity, it would include the variability of the ad deals, it will include the variability for franchisees with regard to royalty. With regard to the more fixed components, the rest that you just mentioned, it would not include that. It’s hard to make a supposition around that for the fact that we – in all cases, we don’t know the lease terms of all the franchisees or whether they own that unit or the debt that they may have on that unit. So it really includes all of the variable costs except for those two larger pieces. The other piece there that you may get into to take into consideration is somewhere between the 25 to 3,000 level, you start to cover the majority of those fixed costs. So it’s not that you got to go from 55% capacity to 95% to get there, but it’s – so with each sequential step you cover more and more of that. But right now, given where the – as you would suspect as you’ve seen Curt report from numerous 8-Ks, negative 80% same-store sales, 50% same-store sales is a dream that we will continue to work to get far beyond that.
James Rutherford: That’s very helpful. And as a follow up and kind of circling back on the decision to open the dining room, if I got my math correct, it seems like you’re picking up initially about an extra 20% lift or improvement in the comp when the restaurant reopens and that’s just going from the negative 68 and the most recently week to negative 50 for those that have reopened, which is about $900 a day or so if that’s the right math. And it also looks like the cost to reopen the dining room adds about $500 to $1,000 per day in cost. So the point I’m making is it seems like it’s close to breakeven initially to reopen the dining room. So is that math correct? And if so, kind of what the incentive initially for these franchisees to open back up?
Robert Verostek: You’re math is correct. We would support generally that you certainly are in the ballpark with that. The reality is, is as you open back up you ensure that you can open up and you can – we’ve seen sales build upon themselves. So just the notion that you are open kind of feeds upon itself and with very limited perspective only a week or so with an on-prem business we are still getting and learning all of those various insights. John, any other thoughts on the benefits to getting open real quickly --?
John Miller: Well, obviously you have to get momentum with staff. Employees need a certain number of hours a week to make it worth it to come off unemployment. And so building cook hours in stages and then another cook and then building hours and then stages and then another server, all those things play a role. The dynamic of managing inventory and menus, the menu will get larger as the diner goes back up again. So we sort of stage from a very small menu to we’ve added some items back and then we’ll continue to do that as sales increase. So all these things play a role in what a small staff can do and then what a larger staff can do on the line. But it also builds momentum and sort of hopefulness. You can see – I toured quite a few restaurants yesterday. One of our larger franchisees, a 61-unit franchisee who has operations in Texas and Florida and it was just good to see cars on the parking lot. We toured competitors, fast food restaurants, fast casual and then quite a number of Denny’s. And then you could just see the excitement of some of the guests to be able to sit down and be waited on. And it was nice to see the momentum starting to slowly build.
James Rutherford: That makes a lot of sense. Thanks very much.
Curt Nichols: Thank you.
Operator: And next, we’ll go to Jake Bartlett from SunTrust. Your line is open.
Jake Bartlett: Hi. Thanks for taking the question. I appreciate all the hard work you guys are doing right now in this tough time. My question was about the cash burn rate. In some companies, some of your peers have provided kind of on a weekly basis or a monthly basis, but kind of assuming a level of same-store sales, what would you estimate your – the overall cash burn rate to be?
Robert Verostek: Yes, so to frame that up for you, Jake, excellent question. What we can tell you is that in the month of April, our cash burn rate was somewhere in the $5 million to $7 million for the month. So if you break that down, that is somewhere between 1 million and 1.8 million on a weekly cash burn basis. So some of the things to take into account there is the idea that we have a working capital deficit as well as the restaurants were closing down, we had that burn off. So that was somewhat taken into account in that cash burn rate. So that is one thing to note. The other piece of that is not wanting to be perspective with regard to that, that’s why we are trying to focus everybody on these breakeven restaurant level; $1,500 for off-premise, $2,500 for on-prem because the reality is that we move and more units on – so 520 are on-prem now. We move more and more of the units into that status, that cash burn rate goes down. So I think what I can offer is that kind of the worst of the cash flow burn rate would be in that $5 million to $7 million range which represented really April.
Jake Bartlett: Got it. And then just to clarify, maybe you’ve given the kind of the weekly sales, but – I think I’m calculating or it looks like I’m calculating about the same-store sales would have to be somewhat north of 50% to be breakeven, including some of the G&A on the store level or what has been running was down much more than that. Is that right? What is the exact kind of breakeven that a franchisee, not really just you, but a franchisee would have to see to be breakeven at I guess at the store level?
Robert Verostek: Yes, Jake, I think you’re in the ballpark there. I think that’s what we’re trying to relay with that $2,500 per unit, that is in that 45% to 50% range, so I think you’re spot on with that breakeven level. That’s what we’re trying to relay.
Jake Bartlett: Okay. And then maybe if you can just explain a little bit more about the capacity constraints and what that means for you. I think you made the comment that it was only a few hours on the weekend that it would really impact you, but I know how important kind of Sunday brunches or something like that. Can you maybe help us understand just a little bit more of kind of what your typical capacity is and what – maybe at a 50% capacity constraint, what that actually means?
John Miller: Yes. So as Robert can give sort of more of a financial precision here, but just big picture every segment of the industry has its own rhythm and ours 24 hours, seven days a week basically has less pressure on any particular daypart, so spread out. There’s not a lot of peaks as a result until you get to the weekend where Saturday and Sunday – Friday nights, Saturday and Sunday represents some places where we go on weights [ph]. And so being fully listed would mean a lot to our brand on Saturday. But Sunday afternoon through Friday afternoon, there’s – we don’t have the same bell curves as the casual business does without the breakfast and the late night – the 24-hour daypart. So it affects us less during the week and more on the weekends as it’s very different between us and other brands. So therefore, building servers and cooks for us at 25% to 50% makes sense to start bringing people on because you can’t get them really interested in the role only to work Saturday and Sunday, whereas another segment maybe really waiting for 50% or higher because of their peaks, they require them differently than we do. So I don’t know if that helps or not.
Jake Bartlett: Yes, that helps. I was wondering whether there was actually a disadvantage to how kind of – maybe how kind of focus your business was on the weekends, but it sounds like it was an advantage to be so spread out. And I guess --?
John Miller: It’s an advantage to start at less than 50% capacity to start to get back out again, I wouldn’t call that an advantage per se. It’s just a restart advantage for a few weeks, it’s not material.
Jake Bartlett: Right. And then I look in a state like Georgia, we’ve been tracking how many stores you have opened or open for dining – dine-in. And it seems like about half have dine-in available from what we can tell, that’s a capacity that’s at 50%. I think you kind of addressed this question or you did address this question a little bit earlier, but what needs to change for those dine-in – for the dine-in to open in, say, in Georgia? And then also, what have been the trends over the last couple of weeks as you’ve – you’ve opened -- kind of the state of Texas [ph] opened the longest, if you could share any sort of trends there, if you can see one.
Robert Verostek: I’ll start with that question with regard to Georgia. I do think I will point you to John’s comments and that is sitting here in the moment, I couldn’t tell you exactly which half are opened in Georgia, but the reality is, is that we – the determination on whether a unit opens or not has different dynamics, as John pointed out, with regard to whether it could be a tourist location that may not have come back to life yet or the other complications of that. I would say in general again kind of pointing you back to the top five states if you looked at Texas, Florida, Arizona, Nevada and Utah and the numbers that are reopened, again, nearly have 200 reopened in Texas. So the majority of Texas came back on line fairly quickly. So I think there is a propensity for states that have opened on-premise dining for the franchisee to get back at it pretty quickly. So I think it’s more of the unique case that may be – where they had the opportunity to be on-prem but have not taken that opportunity at that point.
Jake Bartlett: Great. And then last question, is there any changes you made with your marketing weights in the quarter, whether it be television or digital, that might have impacted your results versus casual dining as a whole or versus some of your competitors were either pulling back quicker or maybe continuing on?
John Miller: Yes. So we focused our efforts on free delivery switched to some special digital channels to make sure that was known, take advantage. Remember that family dining is, of all the full service players out there, the lowest in overall to-go sales even though Denny’s on Demand program has been successful for us, we’re still a few hundred basis points behind our casual peers in total off-premise sales. So building momentum for that, especially with people staying at home and wanting to really focus on dinner or you can – if you’re at home, shelter in place, you can take care of breakfast and lunch pretty easily. So the focus on the off-premise or delivery dollars would have been after five. So we’re going to make sure that we can really optimize our Denny’s on Demand platform. So free delivery, messaging and a general focus on value seems to have played well for our brand. I’ll also mention that a lot of quick work to get signage streamers, banners, yard signs sometimes tempts an audience and if your hostess stands, cones for drive-thru curbside, we did a lot to call attention to ourselves where otherwise people might have just forgotten about a family diner for the weekend if they won’t really go out. So we try to create some prominence and visibility around our ability to sell to-go food. We did some of those grocery sales and anything we could, even if they were low margin in the case of groceries or just strictly for the benefit of communities for our customers and to call some attention to ourselves. So that was the focus and I’d say that fared well on a couple of fronts. One, I think the results improved where we would have been without those efforts, number one. Number two, I think our franchisee community working side by side with us too have moved quickly to adapt which is great for our culture inside our brands to have the high degree of engagement and collaboration. Remember, with our steering committee, the chairs of all of our brand advisory council, we were meeting twice a week and sometimes more often than that in lengthy calls to talk about our next step. So I think that’s what you’ll see. You’ll see more of that throughout the balance of the year I’d say among all full service peers a focus on to-go and delivery and family meal packs, bundled meals, homely replacement options, more of those kinds of things that eliminate pain points and provide convenient options for families. And Denny’s is of course proud of the initiatives we have on each of those as well.
Jake Bartlett: Great. I appreciate it. Thank you.
Curt Nichols: Thank you.
Operator: And next, we’ll go to Brett Levy from MKM. Your line is open.
Brett Levy: Great. Thank you for taking the call. I hope everyone is doing well. I appreciate all of the color. I think you said this, but I might have missed it. Did you say what percentage of stores are currently generating either $1,500 a week or $2,000 per week? And also for the units that are open, you said off-premise sales have been up 105%, what were those trending before we had the dining rooms reopened? And then I have two franchisee questions.
John Miller: Yes, I’ll let Robert talk about the sales that we reported for the quarter and the early look into Q2. I don’t think we have specific number of stores that are at or above a breakeven number. I’m sorry, I should have used my pencil for second part of your question was --?
Brett Levy: You gave up 105% off-premise growth for units that were open with dining rooms. What was that trending at before the dining rooms were open?
John Miller: Yes, so we did – I think going back to the script, we were going into this call it 12% wrapping up the year.
Robert Verostek: That’s correct, John. And then nearly doubled as we moved into the only on-prem business there. And with regard to on-prem, I’ll tell you that we got about 521 units and I’ll tell you that about 18% of the U.S. still remain close, so the balance in there that would be the component that is still only off-prem. And the reality is, is we’ll move more and more to the on-prem as the states get to the point that they can loosen up those restrictions. But again, 521 on-prem, 18% still not – on-prem or off-prem, so the balance is really that off-prem business.
Brett Levy: Right. What I was asking is just at the 521 where you reopened, do you have any sense where the off-premise sales are for those units now versus where they were for, say, the two weeks before they opened up the dining rooms, that’s kind of what I was trying to --?
Robert Verostek: Yes, sure. Absolutely. It goes back to the comments in my script. The good news is, is that with the on-prem, the off-prem business for the units that are still – that have moved on-prem have remained robust. They’re still at 105%, so that 12% has nearly doubled even – and has remained even though for – again, it’s a short period of time. Everything is moving here in real time, so that represents about two weeks worth of data, but we’ve been able to maintain that off-prem business with the same robust strength than we did as we moved through April.
Brett Levy: Great. And with respect to franchisees, are you hearing any of your franchisees out there talking about maybe they need to step up closures, that’s something that might have been down the road, but maybe they have to take a little bit more of aggressive stance? And also if sales challenges persists, do you believe you have, I don’t know, wherewithal or the need or the desire to offer additional franchisee relief?
Robert Verostek: So it’s an excellent question. With regard to the franchisees closures, let’s kind of step through that. I think it may be a little bit early in the cycle to understand that. I think the first focus was with regard to capturing liquidity and understanding what level of liquidity may be available in trying to assess how long this may last and when we were going to ramp back up. So with each passing day and week, we get better insight to that. Would it surprise me if closure requests went up? It wouldn’t surprise me. But we’re just not at the point right now. It would be conjecture on my part to – really can’t put out a number of where that would be. As you might expect, we scenario plan every different version of what that might look like as we understand from a corporate perspective what the financials may look like. But right now I wouldn’t say that we’ve had that big call nor would I be able to even hazard a guess what that might look like at this point in time. With regard to the availability of additional funding, our goal is – we have worked through this with our franchisees to keep a strong robust franchise system and to help our franchisees reopen would be in our best interest. But what we have committed to to-date is what we have said in the script which was the deferral for week 11 and the abatements for weeks 12 and 13 with regard to royalty and the advertising brand building fund contribution.
Brett Levy: Great. But there’s nothing to preclude you other than possibly covenant type restrictions? Thank you very much.
Robert Verostek: Yes, so just quickly to that point, the covenant type restriction is the direct loan to the franchisees. The amendment does put a cap within that, but outside of that we really don’t have a restriction as long as we stay within all of our other covenants.
Brett Levy: Great. Thank you very much and good luck.
Curt Nichols: Thank you.
Operator: And next, we have a follow-up question from Nick Setyan from Wedbush Securities.
Nick Setyan: Hi. Thanks for letting me come back on. Robert, what’s the G&A run rate now? Is it – whether it’s on a per week or a per month basis?
Robert Verostek: Yes, Nick, so we look at the G&A, it is what we’ve said and let’s see if I can figure out how to translate this. You noticed that virtually all travel has been shut off. We did have to unfortunately as I mentioned we had furloughed people with regard to – we have furloughed 25% of the home office staff and that ended up becoming a more permanent. We parted ways with those individual earlier in the week. I don’t know in the moment if I had that run rate available, but I’ll have Curt follow up on you on that one, Nick.
Nick Setyan: Yes, no problem. And then just one clarification. Of the 521 units now has dine-in opened, how many are company owned?
Robert Verostek: That’s an excellent question too. Yes, 521 opened right now in 21 states, again that may have to be a current follow-up too. It’s not on my data sheet. I apologize for that, but we will certainly get that number to you.
Nick Setyan: That’s okay. Thank you so much and good luck.
Robert Verostek: Thanks, Nick.
Curt Nichols: Thank you.
Operator: [Operator Instructions]. And we’ll go to James Rutherford from Stephens next. Your line is open.
James Rutherford: Hi. Thanks for squeezing me back in as well. I just had a quick two-parter on the supply chain and what you’re hearing on that front. The first part is on food availability specifically around beef, if you had any disruption in your supply chain? The second part is just on the price increases around protein and how that might affect your franchisees profitability picture in the near term? Thank you.
Robert Verostek: Hi, James. Good questions. Thank you for that. With regard to the supply chain, as you might expect, every time I see one of those articles related to the processing plant, I would call up the head of our procurement and he would tell me that we don’t have issues. That there are plenty of animals on the ground and that the processing disruption would not be long enough to work through those number of weeks on hand that we already had available to us. So with regard to the beef that you specifically mentioned, we certainly have weeks on hand with regard to that and believe that that will get us through getting the processing plants reopened. With regard to commodity inflation, again, I think we’re in a pretty good place. We are contracted with regard to many of our products. And so we don’t – we haven’t quoted the exact commodity inflation this year. There’s just a lot of disruptions. And so beef and – the ones that you mentioned, the beef and the pork have been highlighted but there are obviously many other products that we’ll be in abundance of and then we may be able to get a break on. Overall, in regards to our supply chain, we worked really quite well with our distributor, McLane. They have really been a valuable partner as we have worked through this and as we have ramped back up our units of 521 units that are open. We give them a heads up of what’s coming on line and they’ve been able to get products there really in a timely fashion, so they’ve really stepped up. So with regard to a supply chain disruption, really haven’t seen that in any regard. I think we’re well covered with regard to our beef products with our multiple weeks on hand and with commodities slight inflation. I think it’s really kind of too soon to give a specific number of what that might look like. And just for everyone that’s still on the call, so that Nick is not the only one that gets this piece of information. With regard to the 521 units that we have on-premise sales right now, 30 of those are company owned, so 30 out of the 521. So that’s a piece of information that everyone on the line can have.
Operator: And with no further questions in the queue, I’ll turn it back to Curt Nichols for closing remarks.
Curt Nichols: Thank you, Kristy. I’d like to thank everyone for joining for joining us on today’s call. We look forward to our next earnings conference call in late July in which we will discuss our second quarter 2020 results. Thank you and have a great evening.
Operator: And that does conclude our call for today. Thank you for your participation. You may now disconnect.